Operator: Good morning, and welcome to Getty Realty First Quarter 2025 Earnings Call. This call is being recorded. After the presentation, there will be an opportunity to ask questions. Prior to starting the call, Joshua Dicker, Executive Vice President, General Counsel, and Secretary of the company, will read a Safe Harbor statement and provide information about non-GAAP financial measures. Please go ahead, Mr. Dicker.
Joshua Dicker: Thank you, operator. I would like to thank you all for joining us for Getty Realty's first quarter earnings conference call. Yesterday afternoon, the company released its financial and operating results for the quarter ended March 31, 2025. The Form 8-K and earnings release are available in the Investor Relations section of our website at gettyrealty.com. Certain statements made during this call are not based on historical information and may constitute forward-looking statements. These statements reflect management's current expectations and beliefs and are subject to trends, events, and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. Examples of forward-looking statements include our 2025 guidance and may include statements made by management, including those regarding the conference's future operations, future financial performance, or investment plans and opportunities. We caution you that such statements reflect our best judgment based on factors currently known to us and that actual events or results could differ materially. I refer you to the company's Annual Report on Form 10-K for the year ended December 31, 2024 for a more detailed discussion of the risks and other factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. You should not place undue reliance on forward-looking statements which reflect our view only as of today. The company undertakes no duty to update any forward-looking statements that may be made during this call. Also, please refer to our earnings release for a discussion of our use of non-GAAP financial measures, including our definition of adjusted funds from operations or AFFO and our reconciliation of those measures to net earnings. With that, let me turn the call over to Christopher Constant, our Chief Executive Officer.
Christopher Constant: Thank you, Josh. Good morning, everyone, and welcome to our earnings call for the first quarter of 2025. Joining us on the call today are Mark Olear, our Chief Operating Officer; and Brian Dickman, our Chief Financial Officer. I will lead off today's call by summarizing our financial results and investment activities will provide commentary, and I will continue to execute our strategy in a thoughtful and disciplined manner, despite the latest macroeconomic uncertainty. Mark will then discuss our portfolio, and Brian will address our financial results and guidance. For the quarter, Getty grew its annualized base rent by 11.2% over the prior year to approximately 199 million, and we reported AFFO per share of $0.59, an increase of 3.5% compared to the prior year's quarterly result. The growth in base rent in AFFO was driven by rental increases in our in-place portfolio and the impact of our prior year's investment activity. Importantly, our convenience and automotive retail tenants continue to perform well, despite the challenging operating environment. Our tenants' businesses are largely recession resistant and provide non-discretionary goods and services to consumers, particularly mobile consumers that prioritize convenience, speed, and service. Let me now take a moment to elaborate a bit more on how we track performance for our tenants. Between the site-level financials we receive on 72% of our annualized base rent and publicly available financial data for our listed tenants, we're able to actively monitor the performance of nearly 95% of our ABR. And what we're currently seeing is the same stability, the same resilience that we've consistently seen from these businesses throughout prior market cycles. Within the convenience store sector, rent coverage for our assets was consistent with prior quarters. Within the car wash sector, rent coverage increased at varying levels for each of our car wash portfolios. In fact, the reports we received from our car wash tenants revealed a strong quarter overall as profitability grew, new to industry sites continued to ramp at or ahead of expected pace, customer visits increased, and subscriptions remained a source of strength. With regard to Zips Car Wash, our tenant that filed bankruptcy in February, we have made material progress towards a resolution, which Mark will discuss further in his remarks. As a reminder, Zips represented 12 sites, or 1.8% of our ABR, as our first tenant credit issue since 2011. Moving on to investment activity, the pace of closed transactions to start 2025 was more modest than prior quarters, but in line with our expectations. Approximately 85% of the pipeline we disclosed at year-end was for development funding transactions, which typically have a nine to 12-month spending horizon and sale-leasebacks that can be variable from quarter-to-quarter in terms of investment volumes. With that said, we are pleased that we were able to increase our committed investment pipeline to more than 110 million. This pipeline represents a solid distribution of opportunities across our four target sectors, with approximately 50% of the pipeline being in auto service and the balance across convenience stores, drive-through QSRs, and express tunnel car washes. Approximately two-thirds of the pipeline is development funding transaction and the balance is predominantly sale-leasebacks. Importantly, our pipeline remains fully funded and we have capital to fund additional transactions as we move through 2025. The economic and political uncertainty that has dominated the news for the last several weeks has, broadly speaking, created significant volatility in the transaction and capital markets and has translated into headwinds for closing deals in our target retail sectors. Regardless of market conditions, our job remains to source opportunities that fit our investment thesis and underwriting criteria, and which can be financed decretively. Our acquisitions team continues to do an excellent job of identifying transactions with a mix of large and established tenants and emerging high-growth tenants, who are building strong platforms across the U.S. Importantly, we remain committed to our disciplined approach to acquisitions, which prioritizes owning real estate in high-density or growing metro areas, with excellent access and visibility in retail markets, and which has leads to creditworthy operators under long-term triple-net leases. We are confident that our relationship-based sale-leaseback strategy will generate continued opportunities for getting to acquire assets in our targeted convenience and automotive retail sectors as we move through 2025. With that, I'll let Mark discuss our portfolio and investment activity.
Mark Olear: Thank you, Chris. At quarter end, our leased portfolio included 1,115 net leased properties and one active redevelopment site. Excluding the active redevelopment, occupancy was 99.7% and our weighted average lease term was 10 years. Our portfolio spans 42 states plus Washington, D.C., with 61 of our annualized base rent coming from the top 50 MSAs and 76% coming from the top 100 MSAs. Our rents continue to be well covered with a trillion-12-month tenant rent coverage ratio of 2.5x. Turning to our investment activities for the quarter, we invested $10.9 million across six properties at an initial cash yield of 7.8%. The weighted average lease term on acquired assets for the quarter was 14 years. Highlights of this quarter's investments include the acquisition of three drive-thru quick service restaurant properties in the Memphis, Tennessee MSA for $4.4 million, one express tunnel car wash property located in New York for $4 million, and the acquisition of the land associated with a development funding project for a new to industry collision center in the Kansas City MSA for $1.5 million. We also advanced incremental development funding in the amount of $1.1 million for the construction of two new to industry auto service centers. These assets are either already owned by the company and are under construction or will be acquired via sale-leaseback transaction at the end of the project's respective construction periods. Subsequent to quarter end, we invested an additional $6.4 million, bringing our year-to-date total investments to $17.3 million at a 7.7% initial cash yield. As Chris mentioned, we currently have more than $110 million of investments under contract, which we expect to fund over the next nine to 12 months at an average initial yield in the high 7% area. Beyond our disclosed pipeline, we continue to source actionable opportunities which are priced at accretive spreads and which we believe will benefit our portfolio as we look to scale and further diversify our business. Moving to our redevelopment platform, we funded $500,000 towards a revenue-enhancing CapEx project for one of our legacy gas and repair properties in the first quarter. As part of our agreement with our tenant at the property, we received incremental rent for our investment and extended the base term of the five-property unitary lease. At quarter end, we had four signed leases for new to industry oil change locations, of which one is under construction, and we have additional projects in various stages in our pipeline. Continuing with our asset management efforts, during the quarter, we sold two properties for $500,000. We also made considerable progress towards repositioning the 12 assets that were previously leased to Zips Car Wash. It is our current expectation that Zips will remain our tenant at six of the properties and that we will release five of the sites to two regional car operators and we will dispose of the one remaining property. While we are in various stages of documentation, we expect to be substantially complete with repositioning of these assets by the end of the second quarter, subject to all of the typical qualifiers regarding pending transactions. Upon execution, we expect to recover approximately 70% of the ABR previously generated by Zips and our downtime would be limited to less than one quarter for the assets being leased to the new tenants. With that, I will turn the call over to Brian.
Brian Dickman: Thanks, Mark. Good morning, everyone. For the first quarter of 2025, we generated FFO per share at $0.59, a 3.5% increase over Q1 2024. FFO and net income for the quarter were $0.56 and $0.25 per share, respectively. A more detailed description of our quarterly results can be found in our earnings release and our corporate presentation contains additional information regarding our earnings and dividend per share growth over the last several years. Annualized base rent, or ABR, as of March 31, 2025 was $199 million, an increase of 11.2% over the $179 million we reported as of March 31, 2024. For the quarter, total G&A as a percentage of total revenue was 13.2%, a 40-basis point improvement over the first quarter of 2024. And G&A excluding stock-based compensation and non-recurring retirement costs as a percentage of cash, rental income, and interest income was 10.5% for the first quarter, a 10-basis point improvement over Q1 2024. Management believes the second metric provides a better gauge of performance since it adjusts for certain non-cash and non-recurring items over which we have limited control in both the numerator and denominator. We continue to anticipate G&A dollar increases will moderate, and G&A ratios will further improve as we scale the company. Moving to the balance sheet and liquidity, at quarter end, net debt to EBITDA was 5.2x, or 4.4x taking into account unsettled forward equity. We continue to target leverage of 4.5x to 5.5x net debt to EBITDA and are well positioned to maintain those levels going forward. Fixed charge coverage for the quarter was 3.5x. During the first quarter, as previously announced, we funded $125 million of new unsecured notes, proceeds of which were used to repay $50 million of notes that matured in February and to repay borrowings under our revolving credit facility. Also, as previously communicated, we refinanced our revolving credit facility in the first quarter. The revolver was set to mature in October 2025, and as part of the transaction, we upsized the facility to $450 million and extended the term to January 2029 or January 2030, including extension options. We used the increased capacity to repay our $150 million term loan, which was also due in October 2025, allowing us to address that maturity in the near term while giving ourselves flexibility with respect to the ultimate refinancing of those borrowings. We now have no debt maturities until June 2028. As of March 31, 2025, the company’s weighted average debt maturity was 5.4 years, and the weighted average cost of our debt was 4.5%. During the first quarter, we settled 400,000 shares of common stock subject to forward sales agreements for net proceeds of approximately $11 million. At quarter end, we had 5 million shares of common stock subject to outstanding forward sales agreements, which upon settlement are anticipated to raise gross proceeds of approximately $153 million. We continue to be in a strong capital position with more than $450 million of total liquidity at quarter end, including unsettled forward equity capacity on our revolver and cash in 1031 proceeds on our balance sheet. We have more than sufficient capital to fund our under contract pipeline, as well as additional investment activity as we move through 2025. A couple of additional notes on Zips. We have received all rent due through April of this year, other than the period between February 1st and when Zips filed for Chapter 11 on February 5th.The 70% ABR recovery and less than one quarter downtime mentioned by Mark were both within the range of potential outcomes assumed in our 2025 earnings guidance. There are also no TIs associated with those releasing efforts. With respect to guidance, we are reaffirming an AFFO per share range of $2.38 to $2.41. As a reminder, our outlook includes completed transaction activity as of the day of our earnings release, but does not include assumptions for any prospective acquisitions, dispositions, or capital markets activities, including the settlement of outstanding forward sales agreements. Primary factors impacting our 2025 guidance include the finalization of the anticipated Zips resolution and variability with respect to uncollectible rent, certain operating expenses and transaction-related costs, and the timing of anticipated demolition costs for redevelopment projects that run through property costs on our P&L. With that, I will ask the operator to open the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Daniel Byrne with Bank of America. Please proceed.
Daniel Byrne : Good morning. For the $110 million investment pipeline, can you describe the cadence of capital deployment in the next nine to 12 months?
Brian Dickman: Hey, Daniel. This is Brian. Happy to. As Chris mentioned in his prepared remarks, about two-thirds of that pipeline is development funding. Those projects we typically estimate at nine to 12 months from when we signed them up until completion. Some can be a little shorter. Some can go as long as 15 months. That is generally why we put that range out there. So, I think what you can anticipate is the acquisition activity, the leaseback activity, is typically going to be within the next quarter and change. And the balance of development funding will be over the rest of this year and into the early part of next year.
Daniel Byrne : Got it. Thank you. While we are on that, just given the macro uncertainty, could you describe the development demand today?
Christopher Constant: I think we are having a lot of conversations with operators who were looking at accelerating their new store growth programs in 2025. I think at this point it is probably too certain to make any calls, although people are evaluating all the various inputs to construction. And certainly, as the year progresses, we think there will be some more clarity around the situation and we will be able to work with certain tenants to continue to source deals in that area.
Daniel Byrne : Got it. Thank you so much.
Operator: Thank you. Our next question comes from the line of Mitch Germain with Citizens JMP. Please proceed.
Mitch Germain: Good morning, guys. Chris, did I hear you kind of reference the fact that deals are taking a bit longer? Is that consistent with what you were trying to discuss in your comments?
Christopher Constant: I think each transaction is a bit unique, Mitch. There are certain transactions -- I will go back to last quarter, right? There are certain transactions where it never touched our committed pipeline, just a quick M&A closing where we were part of the capital structure. I think some of the prior question around a little bit of the uncertainty that is in the market today. We are just having a lot more conversations with folks and there might be some of our counterparties that are just evaluating next steps at this point in time. I would just say each transaction, given the direct nature, can have its own cadence and its own time period where you are initiating the discussion all the way through closing.
Brian Dickman: Just real quick, Brian, I would add, just remember that our sellers, our counterparties, right? Of real estate, they are not simply selling real estate from a return orientation. They are making long-term financing decisions as they think about how to fund their growth and manage their capital structure. It is a little bit of a different decision-making process when you are doing a sale leaseback versus just acquiring an asset that may be on the market for sale.
Mitch Germain: That is helpful. Are you seeing more motivation out of the PE capital to place capital rather than lose it at this perspective, or is the activity from them still a bit choppy?
Christopher Constant: I would say there are definitely a lot of transactions on the market right now that we are having conversations with management teams, owners, some of that includes private equity. I think that there is no shortage of potential opportunities out there. Part of the challenge is obviously pricing, timing, expectations for growth in 2025 by our operators. So, yes, I have not noticed any sort of slowdown or increase. I just think there is a lot to work on at this time for us.
Mitch Germain: That’s great. Last one from me. How should we think about the timing of how the Zips rent income hits the income statement? Is that really more of a late 2Q, early 3Q, or is it 3Q? How should we think about the cadence? Obviously, you have already received rents for April.
Brian Dickman: Mitch, I would caveat everything I am about to say about the fact that these are in process negotiations. We wanted to provide an update to the market and give some clarity and some transparency where we had it, but all still subject to being pending discussions. But as you said, we received rent through April for the sites that would stay with Zips. We would assume just a continuation throughout the year with no interruption there. And then for the handful of sites that will be released to other operators, as Mark mentioned in his remarks, we expect those tenants to be in place by the end of this quarter. And then the one asset that will likely sell, that may go into the second half of the year. But it is a longer way of saying that if we are able to execute according to what we anticipate is the outcome here, this should really be resolved by the end of the second quarter and move on with the rest of our business from there.
Mitch Germain: And is Zips, the car washes that they are retaining, are the rents lower on those as well? Is that part of the whole 70% recapture? Is that the way you think about it?
Brian Dickman: Yes, there were adjustments and there is anticipated to be adjustments across all the 11 properties that will stay in the portfolio. They vary by order of magnitude depending on the performance of the underlying property.
Mitch Germain: Thank you.
Operator: Thank you. Our next question comes from the line of Upal Rana with KeyBanc Capital Markets. Please proceed.
Upal Rana: Great, thank you. Chris, regarding the tariffs, have you seen any impact on your existing tenant base, especially given the nature of your auto-centered portfolio?
Christopher Constant: That is a good question. I think any impact of tariffs by our tenants is truly to be determined right now. The positive thing for us is that our assets are not tied to clothing or other manufacturing. Depending on each one of our tenants and each one of the sectors, there are varying levels of inputs or products sourced internationally. The indirect impact that people are having conversations about is on the consumer. While our assets have traditionally performed well during periods of slower economic growth, we take great comfort that our tenants provide essential goods and services to the consumer. I think this is definitely a unique environment that we are in today. We are having a lot of discussions with our tenants and our portfolio on this topic. What we are hearing back from them today is that it is just too soon to make a definitive statement on what impact, if any, tariffs are going to have on their sourcing of product, sales product, on the consumer spending that they see in their stores. We are certainly spending a lot of time with them. I know our tenants are thinking about this, but I do not want to make any definitive statements on the impact to the portfolio right now.
Upal Rana: Okay, great. That was helpful. Brian, could you remind us where your cost of capital is today and what your investment spreads are looking like on your recent investments?
Brian Dickman: Yes, happy to. On a spot basis, this changes daily by definition, but I would say we are probably in that low to mid-7s area, just given where treasuries are, where spreads are, and where the stock price has been. But I think importantly, capital that we have raised and is currently being deployed, the debt that we funded in the first quarter, the equity that we mentioned that is unsettled, that is well inside of that spot cost of capital. I would put that in the mid-high-6s area, so call that 6.6, 6.8 range. Given the pipeline in the high-7s pushing 8, that would tell you that that spread is in the low 100, 110, 120 basis points area.
Upal Rana: Okay, great. Last one for me would be, given the volatility in the 10-year, what is your expectation on where the cap rates could trend in 2Q at least?
Christopher Constant: Yes, that is a great question. I think we are really not seeing any change in cap rates right now based on comments in the first quarter and in the first couple of weeks of Q2. Just as a reminder, we thought that there was depth in the market in that mid-to-high-7 range, approaching 8, with the market getting a little thinner as you get much north of that 8% range. Again, I will go back to almost a similar comment on tariffs. I think people are digesting the news from the last couple of weeks. In our minds, it is a little too early to say that there has been any substantial movement in cap rates, but time will tell. Again, we are continuing to have those conversations with our counterparties on transactions, whether they are in our portfolio or prospective tenants. I will just echo that we are pleased that the pipeline increased and we are able to finance those deals accredibly with the capital we have raised and feel good about being able to grow this year.
Upal Rana: Okay, great. Thank you.
Operator: Thank you. Our next question comes from the line of Wes Golladay with Baird. Please proceed.
Wes Golladay: Hi, good morning, guys. Can you talk about the credit file of your new car wash tenants, and did you get any new relationships?
Christopher Constant: There were no new relationships this quarter, Wes. And you said the credit profile of our car wash tenants that you were speaking on?
Wes Golladay: The new ones, yes, with the people taking over the ZIPS. Were any of those new to the portfolio? Are they bigger, better operators?
Christopher Constant: Yes. I think what we feel good about for those, sorry, Wes, I misunderstood your question. On the Zips assets, the two new tenants that we are negotiating with, I think what we like about those tenants is they are in the markets where those properties are today. They know how to operate in those markets. I would call, they are two different size companies. One is truly a regional operator that is in that market and is growing, and the other is a larger, more established operator who happens to be new to our portfolio, but again, in the market, strong company, and we think it is going to be a good partner for us long term.
Wes Golladay: Okay. And then, I guess, getting rid of Zips, you cleaned up the left tail of the portfolio on the coverage perspective. I think just over 1% for sub one and a half coverage. Is there anything concerning in that bucket, or are these just stabilizing assets?
Brian Dickman: Hi, Wes, it is Brian. Usually around that question, we will point to the one car wash portfolio, and then we have a C-store portfolio that just simply operates in that range. I am talking 12, 15 plus years. That is just where they operate on a stabilized basis, so no concern with that portfolio.
Wes Golladay: Okay and then, David, can you talk about your tenant RCo.? How are they doing on the coverage perspective for you?
Christopher Constant: Yes. We have five leases with RCo. They are our largest tenant. They are public, so I will just refer everybody to their public information. We continue to see consistent coverage. They are in the C-store sector, as I said in my comments. They are in the process of a strategic plan in their business, but from Getty's perspective, it does not change anything contractually. We look to RCo. They expect to generate the similar profits from their stores at the end of this transition, and we still feel good about having them as a tenant. They have been a partner of us for almost 20 years and have a very long track record of performing under all their leases for us.
Wes Golladay: Okay. The last one for me, a line of credit just under 160 million. Are you looking at terming that out sometime this year?
Brian Dickman: Yes. The big piece there, Wes, is the 150 million that came over from the term loan, and we have swaps on that, fixing the interest rate at the 6.1% until October of 2026, and then, of course, the maturity now is until January of 2029. As a general response, yes, we would want to term that out. As you know, we typically prefer long-term fixed rate debt, the 10-year notes, but given that we are fixed through October of next year and we have maturity beyond that, I would say we would be more opportunistic than feel any real urgency to do that, especially point in time, given where both 10-year and spreads are. I would say in due time, we will be opportunistic around terming that out, but nothing to anticipate in the near term.
Wes Golladay: Okay. Thanks for the time.
Operator: Thank you. Our next question comes from the line of Brad Heffern with RBC. Please proceed.
Brad Heffern: Hi. Thanks. Good morning, everybody. On Zips, can you give what the coverage was pre-bankruptcy and then what it is pro forma for the leases that you will presumably sign?
Brian Dickman: Yes, great. It's Brian. So, pro forma, what we had said is we stratify the coverage. So, they were in the 1 to 1.5 range as a 12-property portfolio, say, in the midpoint, typically, plus or minus of that range. And then for the new operators, just premature, right? I want to make sure we get those signed up and give those operators a chance to run those facilities. I think directionally, it would be fair to say we would expect it to be improved, both with the new operators hopefully driving top-line growth and then with the rent adjustments to set those sites up for longer-term sustainability. But too early to get into what we would expect that to be.
Brad Heffern: Okay, got it. And, I mean, I think the market perception was that Zips was largely a sort of balance sheet corporate problem and not necessarily a site-level problem. Did you like to see an issue with those sites covering at that level? And if so, like, did you just think you couldn't get out of them? I'm assuming you were getting quarterly financials. I guess I'm just wondering why maybe you couldn't be more proactive about it or maybe there just wasn't a way to get out of them.
Christopher Constant: Yes. I think one of the things we mentioned on the Zips portfolio is that we went back and looked at them as car wash sites and felt good about the 11 of the 12 that are staying in the portfolio being long-term producing assets for us. By bringing new tenants into the portfolio who are in those markets, we think they're going to be able to grow the top line there. And obviously, with the rents being adjusted that certainly gives them a little bit more cushion, but I wouldn’t say that these were truly underperforming locations, I do concur with what you're saying. I think the overall Zips issue was a balance sheet issue.
Brian Dickman: And Brad, just one additional comment as it relates to coverage. It was fairly stable at those levels. So, it wasn't a situation where we saw higher coverage, higher performance, better performance deteriorating over time. It was a portfolio that just was kind of operating at that level.
Brad Heffern: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Goldsmith with UBS. Please proceed.
Michael Goldsmith: Good morning. Thanks a lot for taking my question. A lot of discussion on Zips here. I just wanted to clarify, what exactly did you bake into your guidance as far as the resolution of it? And how has -- I recognize also that the situation is still fluid, but how does this kind of pending resolution compare to what you had baked into your outlook for the year? Thanks
Brian Dickman: Yes, sure, Michael. So, what we had said on our February call is we looked at a range of outcomes on both downtime and rent adjustments. We didn't get into specifics and we'd still rather not just given the live nature of the situation, but again, assume a range of rental adjustments, some more draconian than others and a range of downtime the same. And as I said in my remarks, the anticipated resolution that we outlined is within that range of outcomes, which is why we left the guidance unchanged. I think that when we're coming back here in July, hopefully this is fully resolved and then we can get a little bit more fine with our guidance and restating that if it has necessary. We were hesitant to do that at this time, given, again, just where we are in the active negotiation. So, a little bit of a longer way of saying what's been proposed or what we've articulated here is well within what we had laid out, again, as those range of outcomes. And I would just end with, if you take a little bit of a step back, we think a pretty favorable outcome. If you can have downtime of less than a quarter on half of the portfolio with the other half continuing through, rent recovery in that 70% area, no TIs, new tenants that are active in the market, just as a general kind of holistic picture, we're pleased with where this is headed and really looking forward to focusing on other parts of the business.
Michael Goldsmith: Got it. And I believe earlier, Upal asked about the impact of tariffs on the underlying tenants, but maybe you could talk a little bit about the impact of tariffs on the redevelopment and how the potential inflationary costs may impact that segment and external growth, maybe more generally?
Christopher Constant: Yes, I mean, I think - if you are referring to our redevelopment program and just new construction in general, I mean, the expectation is across the board from our tenants that construction or any sort of CapEx that's going into any of our properties, the cost of all the inputs will go up. The timing may also be impacted. Certainly that impacts returns as we like to invest in those locations, but just the way we've structured our development funding program and the way we structure our redevelopments, I think we're going into those with sort of the proper protections, whether it be a cap on how much we'll advance or steps and cap rates if there are delays along the way in development funding projects such that it protect us from committing to an investment that ultimately wouldn't lead to the same level of accretion that we thought it would going into it.
Mark Olear: Yes, this is Mark. I'd also add that on the Getty side of the transaction, the scope of work that we're exposed to, the cost of that work is fairly well defined and contained. So things that might be affected by market conditions, steel, glass, cement, things like that, typically are not on our side of the transaction. But that said, our deals contain a - when we underwrite the deals and look at the return on investment, we feel an appropriate contingency in those budgets for cost creep over time because the development deals are even a longer horizon than some of the development funding deals because of the permit process. So, we're looking at anywhere from 12 to sometimes 24 to 30 months and we build an appropriate contingency for cost cream. And then we stay current through our professionals and our development process with the incoming tenant on the evolution of their budgets and their approvals and designs. So we've got a pretty good view to that.
Michael Goldsmith: I appreciate that. And if I can squeeze one more in, what's your appetite for QSR, that was the dominant tenant type that you acquired during the quarter and you brought your percentage ABR up from 1% to 2%. So, what's your thought on this segment going forward? Is there a level of exposure that you're targeting over the intermediate term, let's say?
Christopher Constant: Yes, no defined. Obviously, it's gone from 1% to 2%, so still a very small part of our portfolio. We don't necessarily have a defined basket for that sector. What I would point out, though, is again, we're sort of 18-ish months into looking at the sector, starting to develop relationships in the sector and we're pleased that we're starting to make inroads and we're starting to have that direct type of transaction in that sector and the conversations to generate more opportunities and generate potential investments for Getty to bring onto our balance sheet that increase our exposure there, bring in some new tenants and other diversification. So I think it's the natural evolution of how we get into a sector and how we can grow our exposure there. We've done it in car wash, we did it in auto service, and now QSR being the newest sector. So again, I think this progress that we're making is a good thing and still represents a pretty small percent of our portfolio.
Michael Goldsmith: Thank you very much. Good luck in the second quarter.
Christopher Constant: Thank you.
Operator: Thank you. Our next question comes from the line of Michael Gorman with BTIG. Please proceed.
Michael Gorman: Yes, thanks. Good morning. Just one quick one for me on Zips. Brian, I appreciate the color that the outcome is well within the range for guidance. I'm curious if we step back, how does the outcome compare to how you think about these assets when you underwrite the new investments, right? Chris, you mentioned first credit event since I think 2011. Obviously, the car wash is a new business line since that time. So when you think about underwriting new car wash investments and the potential risk there, how does the recovery from this credit event compare to how you think about recovery in an underwriting scenario? And has that led to any changes about how you're thinking about it for new investments going forward?
Christopher Constant: Yes, I think as we, I'll just correct, sorry, I'll start and then I'll let Mark and Brian fill in what I missed here. But I think as we underwrite, we're always looking at alternative scenarios, whether it be re-tending, whether it be is there a higher, better use or an alternate use for a site. It sort of starts with the markets we invest in, the positioning of the assets, whether it's on a corner or just off the corner. It's one of the reasons that we focus on all that in our disclosure. As we think about re-tending sites, which we've done in the C-store sector, right? We're always saying, okay, who's the highest and best user for that location? In this particular scenario, given where that portfolio is settled in, I think the rents that we recut on these are appropriate. They give the tenant the ability to grow that top line in the business and to be a profitable set of properties in our portfolio. I think each scenario is a little different, right, in terms of what the ultimate recovery is. But given that the 11 of the 12 are going to remain car washes in our portfolio, I think the new rents that we set are sustainable.
Mark Olear: Also, it may, you want to look at it possibly as a validation of the underwriting process where they're going to continue as operating car washes. For the intended use that we acquired for, they'll continue in that sector. You can look at the profile of the incoming tenant, the value that they viewed in those properties. But I guess the answer to the direct question, it doesn't give us any pause on how we underwrite properties. We haven't deviated. We continue to stress test that on a recurring basis and refine our model, our proprietary underwriting value model. But no, it didn't give us any cause for concern in how we look at future opportunities.
Brian Dickman: Mark, I'll just add one more thing and kind of build up what Mark said. We're always evaluating and re-evaluating how we underwrite. And certainly from 2019, through the last five, six years that we've been in the sector, whether it's been as cost of new development have gone up or as new competition has come into the market, we're always, as I said, assessing and reassessing our model. We do underwrite car washes to a higher coverage level today than we did five, six years ago. But that wasn't as a result of Zips. I think that's the key takeaway. We're always looking to refine and improve how we look at properties. So that has been happening even before the Zips event. And then I think, yes, to Mark's point, it arguably validates how we've approached this and doesn't give us any pause in terms of that approach going forward.
Michael Gorman: Okay. And then maybe just one follow-up. When you think about the sites that are staying in the portfolio but not going to Zips, were those offered to Zips at the reduced rent that the new tenants are taking them? Or was there a choice there to reduce exposure to Zips and find new operators, even if Zips would have kept the sites at the lower rent?
Brian Dickman: I think it's a holistic negotiation. I wouldn't necessarily think of it as a direct offer. Don't forget that the starting point from their initial filing, Zips had rejected 7 of the 12 and had indicated that they would stay in five. So that was sort of the starting point. And from that, we got to a situation where they were able to stay in or potentially, as we're laying it out, stay in six, and then five got released and one would be sold. So I wouldn't think of it as one or the other and playing them off each other. The team went out and talked to several operators and brought in a variety of different offers for lease, for acquisition and disposition from our perspective, some were willing to put in capital, others looking for capital. So I would say there was good interest in the sites and where we are looking to land and what we've articulated was just a sort of good blended outcome, good aggregate outcome across the 12 sites that we thought that we identified the right either counterparty in the case of the different leases or in the one case, the sale for the 12 property portfolio.
Michael Gorman: Great. Thanks for the time, guys.
Operator: Thank you. There are no further questions at this time. I'd like to pass the call back over to Christopher for any closing remarks.
Christopher Constant: Great. Thank you, operator. And thanks to everybody for being on the call this morning and for your interest in the company. And we look forward to getting back down with everybody in July when we report our second quarter results.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.